Operator: Thank you for standing by. The conference will begin momentarily. Until such time, you will hear music. Thank you, and please continue to stand by. Thank you for standing by. The conference by. Good morning, and welcome to Crown Holdings Fourth Quarter 2025 Conference Call. Lines have been placed on a listen-only mode until the question and answer session. Please be advised that this conference is being recorded. I would now like to turn the call over to Mr. Kevin Clothier, Senior Vice President and Chief Financial Officer. Sir, you may begin.
Kevin Clothier: Thank you, Elle, and good morning. With me on today's call is Tim Donahue, President and Chief Executive Officer. If you do not already have the earnings release, it is available on our website at crowncourt.com. On this call, as in the earnings release, we will be making a number of forward-looking statements. Actual results could vary materially from such statements. Additional information concerning factors that could cause actual results to vary is contained in the press release and in our SEC filings, including our Form 10-K for 2024 and subsequent filings. Earnings in the quarter were $1.31 per share compared to $3.02 per share in the prior year quarter, which included a $2.32 per share gain from the sale of Eviosis. Adjusted earnings per share were $1.74, up 9% compared to $1.59 in the prior year quarter. Net sales in the quarter were up 8% compared to the prior year quarter, reflecting a 3% increase in global beverage can volumes, $189 million from the pass-through of higher raw material costs, and $58 million from favorable foreign exchange. Segment income was $420 million in the quarter, compared to $428 million in the prior, reflecting strong performance in European beverage, offset by lower volumes in Transit Packaging. For the year, the company delivered record adjusted EBITDA of almost $2.1 billion compared to the prior year record of $1.9 billion in 2024. The improvement was driven by strong commercial and operational performance across the beverage and tinplate businesses. The company generated record free cash flow of $1.146 billion in 2025 compared to the prior year record of $814 million in 2024. The $332 million improvement was largely driven by the 8% improvement in EBITDA and lower pension contributions. The company maintained its net leverage target of 2.5 times, which we achieved in September 2025, and that is down from 2.7 times in 2024. We delivered on our commitment to return excess cash to shareholders with $191 million of shares repurchased in the fourth quarter. For the year, the company returned $625 million to shareholders, consisting of $505 million in share repurchases and $120 million in dividends, compared to a total of $336 million in 2024. Looking ahead, we remain committed to compounding earnings, investing in the business, maintaining a strong balance sheet, and returning excess cash to shareholders. For the first quarter of 2026, adjusted earnings per diluted share are projected to be in the range of $1.70 to $1.80, with a full-year range projected to be $7.90 to $8.30 per share. The adjusted earnings guidance for the full year includes net interest expense of approximately $350 million to $360 million, depending on the timing of share repurchases, exchange rates at the current levels with the euro at $1.17 to the dollar, a full-year tax rate of approximately 25%, depreciation of approximately $330 million, noncontrolling interest expense of approximately $140 million, while dividends and noncontrolling interest are expected to be $110 million. We currently estimate 2026 full-year free cash flow to be approximately $900 million after $550 million of capital spending to support our growth objectives, including capacity expansions and facility upgrades in Brazil, Greece, and Spain. We expect to maintain our net leverage at our targeted level of approximately 2.5 times. With that, I'll turn the call over to Tim.
Timothy Donahue: Thank you, Kevin, and good morning to everyone. As reflected in last night's earnings release and as Kevin just summarized, the company delivered another solid quarter to complete an outstanding year. The company performed well across virtually every metric, generating more than 20% earnings per share growth while also achieving our long-term leverage target of 2.5 times. Fourth quarter global beverage can unit volumes were up 3%, helping to deliver level global beverage segment income against a very strong prior year fourth quarter. Operationally, the teams performed very well to minimize the impacts from tariffs and the border conflict between Thailand and Cambodia. Volumes in Americas Beverage were up a bit more than 1% in the quarter as North American gains of 2.5% were offset by a 3% decline in Brazil. For the full year, volumes in North America were flat while Brazil was down 3%. Compared to a very strong prior year, the segment delivered record income of over $1 billion on the back of exceptional operating performance and positive mix. When adjusted for the pass-through of higher aluminum costs, margins were within 30 basis points of last year's fourth quarter. As we look ahead to 2026, we expect North American volume gains of 2% to 3% but offset by inflation and start-up costs. European beverage volumes increased 10% in the fourth quarter with shipments remaining strong across the Mediterranean and The Gulf States. For the full year, volumes were also up 10%, generating record segment income more than double what it was only a few years ago. With the can continuing to win share, we expect further growth in volumes and income in 2026, more than offsetting start-up costs in Greece and Spain. Sales unit volumes across our Asian operations were down 3% in the fourth quarter, owing entirely to the border conflict between Cambodia and Thailand. While consumer purchasing power across the region remains subdued in the face of ongoing tariff concerns, we expect that our low-cost regional structure will allow commercial adjustments to drive volume growth in 2026. As expected, income across Transit Packaging was down in line with lower industrial activity. Plastic and steel strap volumes held up well, while higher margin equipment and tool offerings continue to be impacted by ongoing tariff adjustments. Despite overall industrial softness and tariff headwinds, the Transit business continues to generate significant cash flow while at the same time continuing to earn double-digit to low teens margins. With the focused cost reductions and operational improvements made over the past several years, the business is well-positioned for future income growth when industrial demand returns. Our North American tinplate businesses benefited from 5% food can volume growth, offsetting softness in steel aerosols during the fourth quarter. For the year, Income and Other was up 80% against an easy prior year comp and supported by food can volume growth and improved operating performance across newly installed capacity. In 2026, we expect further gains largely driven by strong food can demand and increased can-making equipment orders. With net leverage at our long-term target of 2.5 times, we remain focused on responsibly investing to support our partners' needs to grow their businesses, and we also remain committed to paying a dividend that grows over time and returning the capital to shareholders through disciplined share repurchases. In summary, 2025 was another year of improvement for the company. Margins across our businesses remain healthy and demonstrate our ongoing focus on earning appropriate returns on capital employed. With a strong balance sheet and substantial free cash generation, the company remains well-positioned to consistently deliver value to shareholders. And with that, Elle, we are now ready to take questions.
Operator: Okay.
Timothy Donahue: Maybe we're the only ones here.
Kevin Clothier: Peace and harmony. Al, we're ready to take questions.
Operator: Apologies for that. I was on mute. Participants, if you'd like to ask a question, please press star and then the number one. Please unmute your phone and record your name clearly when prompted. Your name and company name are required to introduce your question. To cancel your request, please press star and then the number two. Our first question will be coming from George Staphos. Your line is open.
George Staphos: Thanks very much. Hi, everyone. Good morning. Thanks for the details. Good, George.
Timothy Donahue: Congratulations on the progress. Free cash flow, aside from being a record for you all, was I think, one of the strongest free cash flows we've seen in the sector, you know, maybe top five for the last ten years. So congratulations on that. I guess the first thing that we had for Americas EBIT for the outlook for this year. Tim, you said I heard you correctly, North America is going to grow 2% to 3%. And then you mentioned it would be offset by inflation start-up costs for 2026. So in total, should we expect Americas EBIT to be flattish, up a little, down a little versus 2025? In our view, be relatively flat, but want to hear what your thoughts are there. And then second question, then I might have a follow-on. Did you mention specifically what you expect European volume to be growing at this year based on your intelligence at this juncture? And if you had that and could share it, we would take that.
Timothy Donahue: Okay. I'll take them in order, George. So I think America's Beverage, we expect income in the segment currently to be down a touch. And that'll just be the ongoing inflationary impacts from labor tariffs, what have you, combined with some start-up costs in Brazil for the new line in Brazil, offsetting the volume gains that we mentioned that we see in North America. Two to 3%. European beverage, to your question, we did not give you a forecast for volume growth on I'm hesitant. You know, we had 10% in '25. I you know, if you want to pencil in four to 5%, let's start there. And we'll see how the year progresses. But things look very strong in Europe right now as you're hearing in the marketplace, not only from us but from others. And we'll see how the year progresses. But we're very bullish on Europe.
George Staphos: I appreciate that, Tim. If we think specifically about North America and Europe, and, you know, whenever you talk about end market questions, a lot of times it winds up being all of the above. Are there particular end markets, though, or events you think will help to drive the volume, you know, World Cup, you know, America's two fifty was mentioned on another call. You know, what do you think will be an important driver of the volume growth you see in both regions in 2026? And if you could talk about what's happening.
Timothy Donahue: Starting with Europe, I you know, Europe doesn't have the beer problem that we seem to have in North America. So we continue to see beer growth in cans, conversion from glass to cans. And we do see to the extent there is new filling capacity installed, it's more likely being can filling capacity installed as opposed to plastic filling. So when you look at all the other products, soft drinks and other, we see the substrate shift continuing to accelerate can demand across Europe. And so you know, that would be the answer to your question almost all products. In The United States, again, what we're looking at is energy being very strong. We're not a big player in energy, but where we do participate in energy, our customers are doing well. Flavored alcohols, doing exceptionally well, and sparkling water doing well with carbonated soft drinks appearing to hold their own in cans. And, you know, at some point, beer is going to return to flat or gross. So again, not a very big market for us in North America, but when it does you know, we're actually quite big in beer in Canada. Shouldn't say that. But and Canada doesn't have the same problems as The US. So again, spread across numerous products. And or end markets, but to your point, I don't know if America two fifty really drives much, but certainly the World Cup will especially as it's based in The United States and there's so much focus globally on The US anyway. And being in the same hemisphere as South America and Mexico, I think we look forward to that as well.
George Staphos: Got it. My last one, I'll turn it over. You know, again. Free cash flow is a record. Next this year, obviously, you called out, understandably, maybe down a bit. As we look forward, do you think you can grow free cash flow in line maybe pick the middle of the two ranges call it $1 billion between what you did last year and what you'll do this year in guidance. Do you think you can grow from that level in line with volume? Or do you think we've more or less reached kind of a plateau because the growth that you'll see in volume will require investments spending? How should we think about your ability to get free cash flow to the bottom line given the volume growth that you see in the sector? Thanks and good luck in the quarter.
Timothy Donahue: Thank you, George. I think Kevin Kevin stared at me. I think that what Kevin would tell us is that $1 billion seems like a reasonable and sustainable free cash flow number as we look to the future with a moderately reduced capital number, you know, we're looking at $550. But if we think about $450 to $500 on an ongoing basis that supports fairly good growth opportunities into the future that a billion dollars is not unreasonable.
George Staphos: So you should be able to grow off that level then if you hold the CapEx where it is and you get the volume growth. Yes. Thank you, guys. I'll turn it over.
Timothy Donahue: Thanks, George. Thank you. Our next question will be coming from Phil Ng of Jefferies.
Operator: Your line is open.
Philip Ng: Hey, guys. Congrats on another strong quarter.
Kevin Clothier: Tim, it was helpful to give us some perspective that perhaps this year you're seeing some startup costs around Brazil and I guess some timing nuances around inflation.
Philip Ng: When we look at the 2027 and beyond, appreciating you generated record margins, should we expect operating leverage in this business? How should we think about that going forward? Especially with some of these costs winding down perhaps in 2020?
Timothy Donahue: Yeah. Listen. I think one thing we've done really well over the last six, seven years is convert new capacity into margins that you would expect or even margins that were beyond your expectations. I think our focus has been on trying to earn returns on capital that we employ. We don't necessarily need to have every account to feel good about ourselves. We're not looking just to fill factories up. We're not looking to just be big. We're looking to be profitable. And I think we've managed to do that well over the last several years. You know, the whole issue about leverage it's a nice term. I always I'm curious what it means when we hear the term, but, you know, our goal is to continually generate more income. As you know, Phil, sometimes percentage margins are a little bit misleading from one year to the next only because of the pass-through of raw materials. And you should expect as long as aluminum stays elevated for percentage margins, to contract a bit because of the denominator effect, but you know, the goal is to generate more absolute margin and more cash flow as we go forward, and I don't see any reason why if we look out over the next five years compared to the last five years, we shouldn't be as similarly successful as we were over the last five years.
Philip Ng: Okay. Great color, Tim. In terms of Brazil, a little softer in 2025. One of your competitors talking about perhaps some destocking in the channel to start the year. Help us think through what you're seeing on the ground from a Brazil standpoint. Certainly, some excitement around the World Cup, but also in an uneven macro environment. Are you seeing any trade down into, like, refillable glass like we've seen in past cycles?
Timothy Donahue: Well, there has been less consumption combined with a move back towards large 600-milliliter bottles that are shareable among people when they're out. Listen. The economy in Brazil is the I shouldn't say the economy. That's probably I don't know enough to say that. But we do know the consumer is a little weaker than we would like. Now having said that, and you've heard us say this over time, we don't get overly concerned from one quarter to the next or even one year to the next in Brazil. It's another market that's been exceptionally robust for the can industry. I think we've all done really well. And as we look at any three to five-year period, you know, at the end of that three to five-year period, do you believe you're gonna be in a better place than you were three or five years ago? And we believe yes. So I don't you know, I know your focus is your focus is on trying to forecast immediate and then maybe eighteen months out, and we have a longer focus than that. But we still remain very positive on Brazil, and you know, it'll come back. And it is a market where the can is really well positioned across beer. We continue to see that doing well.
Philip Ng: I may admit that, Tim, did you give us your outlook for 2026 for Brazil from a growth standpoint?
Timothy Donahue: Did not. I think it's probably a bit too early to say that, but let's you know, if you wanted it's early, but if you wanted to use 3% you could use 3% for the industry and for Crown.
Philip Ng: Okay. Helpful. Thank you. Market develops. Okay. Thank you.
Operator: Thank you. Our next question will be coming from Ghansham Panjabi of Baird. Your line is open.
Ghansham Panjabi: Thanks, operator. Good morning, everybody. I guess, you know, going back to the North American beverage outlook of two to 3%, volume growth of twenty-six percent for you specifically. Is that also your assumption for industry growth for the year? And then just related to that, where are you on capacity utilization in North America relative to you know, the bit of growth that the industry saw last year or at least over the last couple of years? Just curious as to where you stand on capacity.
Timothy Donahue: So I think Don Shum, the market in 'twenty-five probably up 2% to 3%, maybe 2.5%. I think as we look to 2026, again, it feels like the market should be up two to 3%. I think capacity in the industry is tight. I know we are tight. You know, notwithstanding, perhaps there is some capacity coming online. I still think that with the growth we see 2% growth on a $120 billion can market is $2.5 billion cans. That's a can plant with two lines at full operating speed, so it should absorb any new capacity coming online. So I expect the market's gonna remain tight.
Ghansham Panjabi: Okay. Thank you for that. And then as it relates to CapEx, I mean, 2023, roughly $800 million CapEx. Last two years, half of that. You know, let's say roughly $400, and we're targeting $550 for '26. Is this the new baseline as it relates to how you think about the future? You know, this year, obviously, you're spending money in Europe and Latin America. Will that morph into The US 2027 onwards? And then just I'd love to hear your thoughts as it relates to the affordability of the can as well. Right? Obviously, aluminum's up significantly. Plastic prices have done very little, if not go down. And so the divergence between the two, you know, how does that affect your thoughts as it relates to the let's say, the competitiveness of the can?
Timothy Donahue: Yeah. I think I wouldn't read too much into the $550 this year. I think we have a situation in Europe where we need capacity and we need capacity to service customers in the Mediterranean, Greece, Spain, and we have a pretty strong position there. We're oversold in the region, and it's we just have to you know, the Greece project is a we're on-site with a Greek plant where we're gonna remove two old slower lines and put two high-speed lines in. We pick up a fair amount of capacity, and we'll put another line into the plant in Northern Spain. And that's basically the service markets where we're oversold. You know, do we have other opportunities that we're looking at? Sure. We'll see how they manifest. But to your question about North America, I don't see you know, never say never, but as we sit here today, I don't see any need for new capacity for Crown in North America over the next year or two. The affordability of the can you know, from production through delivery to the consumer, it still should be the cheapest and most effective way for our customers to deliver product to the consumer. Now having said that, the aluminum is a lot is up a lot. You know, I can't you know, you can't make heads or tails over what's going to happen with tariffs long term and certainly the punishment that we're putting on some of our trading partners specifically Canada as it relates to aluminum and the need for primary aluminum to come out of Canada. We have not enough primary production in The US, if any. So like a lot of things in the new world, Don Chum, when we're talking about sustainability, we're forcing the cost of sustainability on the consumers. And we'll see how long consumers and retailers want to stay in line with their sustainability goals and or are they just checking the box, and are they gonna go back towards products that are less sustainable? But I think right now, we don't we're not overly concerned as we look at volumes for '26 and '27. As it relates to the cost of aluminum. Demand appears to be very firm.
Operator: Thank you. Our next question will be coming from Matt Roberts of Raymond James. Your line is open.
Matt Roberts: Hey, Tim, Kevin, Tom. Good morning.
Operator: Morning. Firstly,
Matt Roberts: what level of buybacks are assumed in the guide? And I know you have incremental CapEx, but still strong free cash flow generation. So is there any preference in leaning towards M&A, maybe in cans? Or otherwise if there were hypothetically speaking, any transformational opportunities out there?
Kevin Clothier: Alright. So, Matt, in terms of what we've baked into the guide, cash flow is $900 million. Assume dividends to shareholders and minority partners are, you know, $200, little less than $250, so they give $650. We've assumed we would buy $650 million of stock. Some each quarter. Leaving us room to be opportunistic if we know, see a buying opportunity.
Timothy Donahue: Matt, on the second part of the question, I think the goal of every management team should be to improve its company, its portfolio of businesses. Now having said that, and at the risk of insulting analysts, investors, and our other cohorts in the packaging space, we do not see any opportunities across packaging that would meaningfully improve Crown as a company. Therefore, our best use of our cash is investing in ourselves by returning cash to shareholders in the form of share buybacks.
Matt Roberts: Thank you, Tim and Kevin. I appreciate the color there. And maybe for my follow-up on a qualitative basis, Also, at risk of insulting others in packaging, we've certainly seen other peers have had abrupt management changes of late, and your operations and stock performance certainly don't seem indicative of that. But in light of that, how do you think of succession planning or perhaps going against the grain of changes we've seen in packaging the C suites of late? Thank you for taking the questions.
Timothy Donahue: Well, you know, I think one thing that helps an organization do well is stability. We've had the at Crown, like all companies, we've had our ups and downs over decades. I have the privilege and the good fortune to lead an exceptional group of professionals at Crown. I think I'm only the fourth CEO in the last seventy years. I think that stability says a lot about the organization and the culture we have at Crown. We do have a number of internal candidates when the board decides they're tired of me. And we have a number of highly trained and experienced professionals in the can industry that are certainly prepared and ready to lead this organization going forward. But I think stability is very important, and I think we've been very fortunate at Crown to have stability for so many years.
Matt Roberts: Appreciate the thoughtful color again. Thank you, John.
Operator: Thank you. Our next question will be coming from Chris Parkinson of Wolfe Research. Your line is open.
Christopher Parkinson: Thank you. So just a pretty quick question, on Asia just filling out the geographic landscape here. You've been pretty cost position pretty dramatically in terms of your asset base there. And yet there have been competitive challenges in Indonesia. Know, skirmishes in, you know, Thailand and Laos. Just, you know, as it stands today, how do you assess the growth of that market? And understanding it's not going to be next month or two, I'm not asking you to call that. But just when you think about that market over the next two years or so versus how you used to think about it, in terms of like the ultimate profitability potential? What would the update be there? Thank you.
Timothy Donahue: Yeah. Chris, I don't not to be flippant, but we can get growth anytime we want it. We just go into the market and make commercial adjustments. We can get all the growth we want. It's a constant evaluation as to what sort of commercial adjustments are necessary to get growth, and do those adjustments in growth improve the business long term. Could be short-term pain or not, but do they improve the business long term or not? And so that's a constant evaluation we do, but there's plenty of growth available in the Asian market. We do have a very low-cost structure across Asia. I think you know, most of the companies we compete with in Asia are private companies and or companies that don't publicly report. But I would venture to say that our margin profile in Asia is the envy and therefore the target of many other Asian companies. Having said that, we are very large, well-positioned, low-cost. So we can flex commercially to grow business, and we'll look to do a little of that this year in Asia.
Christopher Parkinson: And just, you know, drilling down a little bit more in Europe, is the growth that you're bullish and kind of work, I guess, for penciling in at least that mid-single-digit, that five-ish percentage growth rate. When you take a step back and look at Southern Europe versus The UK versus Northern Europe, are there any material differences in terms of you know, the growth rate in terms of how it's hitting your business? Or is it essentially the same growth rate in all sub-regions across the board? Thank you.
Timothy Donahue: Well, there are some markets we're not in. For example, we're not in Scandinavia. We have one plant in Eastern Europe, we're not very big in Eastern Europe and we're not in Benelux. So can't really comment you know, so much on the growth rates in those markets. I can tell you that we do know that margins are different in those regions. Specifically, in those regions, they're different from Scandinavia to Benelux, etcetera. And they're different from Southern Europe, and into the Gulf States. But you've heard us from time to time in the past talk about tourism as it affects our business since we're so strong in Southern Europe. We had a very good year this year, and we foresee another very strong year across Southern Europe and into the Gulf States in '26. But you know, regionally, we're set up a little differently than the competition. But having said that, the entire market is doing well, and we expect everybody to do well across Europe.
Christopher Parkinson: Thank you so much.
Operator: Thank you. Our next question will be coming from Mike Roxland of Truist Securities. Your line is open.
Michael Roxland: Thank you, Tim, Kevin, Tom for taking my questions. Tim, can you just talk about what you've seen thus far in terms of demand in January and early read on February?
Timothy Donahue: Well, I think everything everything as we expected. I think perhaps the weather may have impacted some shipments. Tractor trailers don't do real well on icy highways. But February has started off. Looks like it's more than fully recovering any shortfalls that were in January, so as expected. It. Maybe January a little bit weaker due to weather, things out of your control, but February doing better. Have you recovered any of that lost volume in January in this month thus far? Yeah. I think that's what I just said. I think February more than recovering.
Michael Roxland: Okay. Got it. Got it. Thank you for that, Tim. And then just on food can demand, obviously, I think you called out 5% food can growth in the quarter. What are you expecting for 2026? Do you expect to grow above the market? Are you gaining share in food cans? Any color you can provide around that?
Timothy Donahue: I think that our customer set and specifically our waiting to pet food gives us an opportunity to grow a touch above market. I think, really, we and only one other company produce pet food cans in any size for the market. So we and the one other company are the beneficiaries of pet food growth and pet food certainly growing more than human food in cans.
Michael Roxland: Thank you.
Operator: Thank you. Our next question will be coming from Stephen Diaz of Morgan Stanley. Your line is open.
Stefan Diaz: Hi, Tim. Hi, Kevin. Congrats on good 2025 results. Maybe just to begin, for the investments in Brazil, Greece, and Spain, I guess, is that ramp going so far? And then as we think about 2026, you know, what type of volume pull-through should we expect from these investments? Or does incremental volumes from the investments really show up more in 2027?
Timothy Donahue: Oh, these are mostly 2027. These start-ups won't here won't happen till the back half of the year. So little this year some start-up costs as we do training and other things, recruiting people second quarter, third quarter, the fourth quarter, and most of the volume next year.
Stefan Diaz: Okay. Great. Makes a lot of sense. And then it wasn't too long ago that, you know, investors are sort of worried about overcapacity and you know, potential price pressures in North America. You know, one of your competitors signaled that they were pretty much tapped out of capacity in the region. You know, you came out today saying that you don't think you need to put more capacity in North America over the next one to two years. I guess, one, how do you see utilization rates in the region? And then two, does Crown have capacity to potentially, you know, pick up some business if, you know, demand is a little better than forecasted? Thanks.
Timothy Donahue: Yeah. Listen. I think we don't see any need to any capacity in. We have a playbook that we're operating with it. We want to generate a lot of cash flow. We think there's great return opportunity there if we generate a lot of cash flow. That implies keeping capital at reasonable levels. We have opportunities in other markets perhaps that generate better and quicker returns right now than North America, and it does not appear that we need to put any capacity in North America. We have a little bit of open capacity, not that much. We certainly couldn't take a sizable customer on. And you know, the opportunities elsewhere give us better opportunities. So having said that, you know, utilization is tight. It doesn't mean others won't put capacity in, but we don't need to chase it. So I think we're happy with the statement we made that we don't see the need for Crown to put any capacity over the next couple of years into North America.
Operator: Thank you. Our next question will be coming from Josh Beck of UBS. Your line is open.
Anojja Shah: Hi. Good morning. It's Anoja Shah sitting in for Josh. Just wanted to go back morning. I just wanted to go back to Europe for a while. Could you give a little more detail on what you're doing in Spain and what's driving that kind of growth? Because if I recall correctly, I think you the last five years, you've added capacity to three different plants there. And maybe you can ballpark the current CAM per capita rate there versus, say, the just so we get a sense of how much runway there is.
Timothy Donahue: Looking to have if Tom can come up with a per capita can rate. I Spain is not the largest can make market in Europe. It's probably the second largest can market in Europe after The U. K. And so we I think probably seven maybe seven years ago, we built a plant in the Valencia a new high-speed two-line plant. The plant in Agenseo in the North Of Spain in the Bilbao region that we're adding the line to now, used to be a steel can plant two-line steel can plant, slower, older lines. We ripped the steel lines out. We put a new aluminum line in, and now we're doubling the plant. We also make ends in that facility. And then in Seville, we have a two-line aluminum plant as well. So yeah, a lot of capital put into the market, but it's a market that we enjoy pretty good relationships with two very large global customers, and you know, part of what makes our success is their success, and we continue to support their success by investing.
Anojja Shah: Okay. Great. Thank you. Then for my follow-up, Mexico recently raised the sugar beverage tax quite significantly. I think starting this year. Can you remind us I know a lot of your portfolio there is beer, but can you remind us what your soft drink exposure is there and what impact you expect this to have this year on your volume?
Timothy Donahue: Yes. I think that the majority of our business there is beer soft drinks for us, on the order of 10 to 15 percent. The balance mainly being beer.
Anojja Shah: Okay. Great. Thanks. I'll turn it over.
Operator: Thank you. Our next question will be coming from Arun Viswanathan of RBC Capital Markets. Your line is open.
Arun Viswanathan: Great. Thanks for taking my questions. Hope you guys are well. Congrats on a successful 2025. I guess first off, in North America, so, know, you discussed the strength in energy, your position there. You said CSD is kinda holding its own. And beer will come back and, you know, there's also some commentary in Canada that you offered. I guess, we've been hearing that one of your large CSD customers is interested in regaining some share. So I guess maybe you can just comment on your position with your customers in North America. Do you feel like you're well-positioned in CSV? Are you hearing any commentary from your customers about promotions and increasing those promotions to drive volume? A couple of years ago, they were really focused on price, but I'm just curious with the rising aluminum prices and Midwest premium, if now they're starting to get worried about this demand holding up and if they would require greater promotions to really continue to drive that demand in that two to 3% range? Thanks.
Timothy Donahue: I think you're going to if you watch the Super Bowl this weekend, you're going to see two really slick commercials. I don't know how many times they're each gonna run them, but are gonna run some really, really slick one of the major beer companies and one of the major soft drink companies commercials that are really well done. And in the case of the soft drink company, it focuses and showcases the can as the package in the commercial. So, clearly, they spent some time and I gotta you know, not an advertising executive, but I gotta tell you, these two commercials are exceptionally well done and I'm gonna assume the consumers are gonna receive them very well. And hopefully, that kick starts even more can consumption as we go through the rest of the year.
Arun Viswanathan: Okay. And I guess, like, I'll ask on transit as well because we haven't talked that much about it. But, what's the outlook there? I mean, obviously, very macro-driven. But, you know, is there anything else that you guys can do? You've taken out a lot of costs. But, you know, is there consolidation, or is there anything else in the market that you think could be interesting from and could drive, you know, maybe a little bit better volume outlook for transit? Thanks.
Timothy Donahue: Well, again, you know, we can drive volume any way we want. We can go cut price. We can make bolt-on acquisitions. We can do a lot of things. What we've chosen to do in this business is have this business generate as much cash flow as it can for the organization in excess of $250 million a year with very little resources being given to this business. Now if we're gonna have an honest conversation about our transit business, our transit business generates margins even in a down cycle that are in excess of many of these other so-called high-value packaging franchises. That you guys all write about. So if we wanna have an honest conversation about valuation and where this business sits in relation to other packaging companies. This business is, in our view, performing exactly as we need it to do. Very little resources being given to it, generating exceptional cash.
Arun Viswanathan: Thanks.
Operator: Thank you. Our next phone number will be coming to hit you without a room that wasn't directed at you.
Timothy Donahue: That was just a general comment.
Arun Viswanathan: No worries. Thanks.
Operator: Thank you. Our next question will be coming from Anthony Pettinari of Citigroup. Your line is open.
Anthony Pettinari: Good morning. Sorry if I missed this, but is it possible to put a finer point on the dollar impact of the start-up costs in Brazil, Greece, and Spain? And then in term I guess, in terms of timing, I think you said those projects or the cost would be sort of second half weighted. Just wondering if you can confirm that.
Timothy Donahue: Projects second half weighted, most of the start-up costs second half weighted will start to hire and train people in Q2. So there is some cost there. Not numbers we typically call out, just telling you that they're there and it's part of doing business. If you wanna grow your business, get used to it. It's just a part of the cost where not a number we ever put too fine a point on. You can calculate this number a variety of different ways, but their costs are there, and it's a cost of doing business in a growing environment.
Anthony Pettinari: And then switching to Asia, I think you indicated that the Thailand, Cambodia conflict is basically responsible for I don't know if you said all of the short or the majority of the shortfall, and I'm wondering if you could just provide any additional detail on that. And then in terms of sort of the state of play in terms of you know, that issue impacting volumes, like, right now, where are we? And do you maybe at some point lap that? Because I think the conflict sort of started last year and then sort of stopped. I just wondering if you can put any finer point on that.
Timothy Donahue: Yeah. We'll lap that sometime in the third quarter. It's just a land dispute one side arguing that they own 15 miles of border that the other side they own. You know, it's I don't know enough about it, and certainly it's inappropriate for me to comment on what two governments are discussing. But it was responsible for more than our shortfall. Especially in the tie business.
Anthony Pettinari: Okay. That's helpful. Turn it over.
Operator: Thank you. Our next question will be coming from Silke Cook of JPMorgan. Your line is open.
Silke Cook: Hi. Good morning. I'm setting in for Jeff this morning. In Europe, with the expansion that you're doing, so it's like a, you know, a billion cans coming on in Greece and, like, a know, maybe, like, a billion cans from, like, the line in Spain, and your base capacity is maybe 15 or 16 billion. So still, a world where you're based on, like, the capacity you bring in, your growth in Europe, is higher than four to five, like, maybe more, like, high single digits, or that's too optimistic?
Timothy Donahue: Yeah. I think I caught what you said. I think our base capacity in Europe is probably bigger than the number you quoted if I heard you quote 16. But listen, I think the capacity we're bringing online the installation happens this year, but the through learning curve, you don't get the full run rate of that capacity for you know, 18 to thirty months. So as you think about adding 5% or 6% capacity to a portfolio or footprint. You don't really need to fill it out immediately because you don't produce that immediately. It's produced over it gets grown into over 18 to thirty months.
Silke Cook: Okay. Thank you.
Operator: Thank you. Alright. Our last question will be coming from Edlain Rodriguez of Mizuho. Your line is open.
Edlain Rodriguez: Thank you. Good morning. May just one quick one. Tim. So when you look at the portfolio right now, know, if you're looking at the industry fundamentals, both beverage can and, you know, transit, like, what are and where do you see the most opportunities and challenges?
Timothy Donahue: I think that the biggest challenge anybody has, we've done we and the industry have done exceptionally well for the last five or six years. And I think the challenge as you for all of our managers as they lead the businesses is to not get complacent, is to keep pushing forward. And to do better. So that's number one. I think number two, trying to find the right balance between supporting our customers' growth objectives and ensuring that what we have to do to support their growth objectives returns fair value to us. And as an industry, we've done a little better over the last five or six years with that. I still think there's more we can do to return more value to our company and our shareholders in line with supporting our customers' growth objectives. Certainly, we do see beverage cans growing globally. The intersection between growth and increasing profits is always one we look for, and so we're constantly focused on that. As opposed to just trying to get bigger. And I do believe that ultimately these industrial markets are going to return. We get some clarity on tariffs. We can just stop changing what we say about tariffs, we just had whatever they're going to be, if they would just would be what they're going to be and they don't change every day, then I think companies and purchasing managers across the space could have a little bit more confidence in where they're going. And having said that, when that does happen, we do see significant upside to the transit profitability profile just given the amount of cost we've taken out over the last several years.
Edlain Rodriguez: Okay. Okay. Great. And one last one capital allocation. You know, stock is not too far from it. All-time high, I believe. Like, is share buyback still a good use of capital in your view?
Timothy Donahue: Well, I think Kevin and his team will use a disciplined approach when and how we choose to buy back shares. You know, depending on where interest rates go, you can make the argument you want to continue to pay down debt. I think one of the challenges with paying down debt is it's really hard to make adequate returns when your leverage is too low. So you know, two and a half is a nice place to be. It feels like a sweet spot to be with leverage to generate as best return as you can, and we'll be intelligent as we use the cash flow that we generate when we're buying back shares.
Edlain Rodriguez: Okay. Thank you.
Timothy Donahue: Thank you, Evelyn. So, Al, I think you said that was our last question. So we thank everybody for joining us and we look forward to speaking with you again in a few months. Bye now.
Operator: And that concludes today's conference. Thank you, everyone, for participating. You may now disconnect.